Operator: Good morning, and welcome to NuScale’s 2022 Third Quarter Earnings Results Conference Call. Today’s call is being recorded. All participants are in a listen-only mode. After managements’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] A replay of today’s conference will be available and accessible on NuScale’s website at ir.nuscalepower.com. The web replay will be available for 30 days following the earnings call. A telephone replay will also be available for seven days through a registration link, also accessible on NuScale’s website. At this time for opening remarks, I would like to turn the call over to Diane Hughes, Vice President of Marketing and Communications. Please go ahead, Ms. Hughes.
Diane Hughes: Thank you. Welcome to NuScale’s 2022 third quarter earnings results conference call. We appreciate your interest in NuScale and thank you for joining. With us today we had John Hopkins, President and Chief Executive Officer; and Chris Colbert, Chief Financial Officer. On today’s call, John and Chris will provide an update on our business and discuss our results. We will then open up the phone lines for questions. We have posted a set of supplemental slides on our Investor Relations website. As reflective in the Safe Harbor on Slide 2, the information set forth in the presentation and discussed during the course of our remarks and the subsequent Q&A session includes forward-looking statements, which reflect our current views of existing trends and are subject to a variety of risks and uncertainties. You can find a discussion of our risk factors, which could potentially contribute to such differences in our SEC filings on Form S-1 and Form 10-Q. I’ll now turn the call over to John Hopkins, NuScales’ President and Chief Executive Officer. John?
John Hopkins: Thank you, Diane, and good morning, everyone. I’m pleased to be speaking to you from Sharm el-Sheikh, Egypt at COP 27 where we’ve been participating in meetings and panels about the essential role that nuclear play in de-carbonizing our global energy ecosystem to help meet our carbon reduction targets by 2050. We discuss the use of SMR technology to provide critical carbon-free power to Ukraine. The discussion included announcement by the U.S. government commands a pilot project in Ukraine that will demonstrate the production of clean hydrogen ammonia using NuScales’ SMR technology carried out by a public private consortium from the U.S., Ukraine, Japan, and the Republic of Korea. This is another example how SMR technology can not only provide energy security, but also offers a diverse energy platform from which to de-carbonize multiple sectors and enable countries to address issues like long-term food security and energy scarcity. What this also underscores is that the level of excitement around nuclear has never been greater. Recent geopolitical developments have put a spotlight on a need for additional sources of clean and reliable energy. As a result, more governments, utilities, and businesses across the globe are looking to nuclear as a viable way to power the future. As an example, at the recent International Atomic Energy Agency, IAEA, Nuclear Power Ministerial Conference in Washington, D.C., leaders from the governments of Japan, Ghana and the U.S. announced the strategic collaboration to support the deployment of SMR technology in Ghana. As part of this agreement, the government of Japan has funded a feasibility study and supply chain survey for the potential deployment of a NuScale VOYGR SMR power plant in Ghana. This collaboration that’s the first of a kind on the African continent, a market we believe could be well served by our technology. Administrations in the UK, France, and South Korea are also discussed in extending alliance of existing plants, indoor building more nuclear power plants as part of a longer-term framework to meet net zero emission targets, and it has been encouraging to see countries such as Germany reevaluate their stance on nuclear. Similarly in the U.S., states are calling for extending the lifetimes of the current fleet or expanding the use of nuclear power. In California for example, Governor Newsom signed a law to keep the Diablo Canyon power plant running for five years past its previous plan closure date. Virginia has recently released 2022 energy plan, specifically calls out the need for reliable, base load, clean energy from SMRs and calls for the first commercial SMR facility in the country to be placed in Southwest Virginia within 10 years. On the Federal level, the recently passed Inflation Reduction Act, represents the most consequential piece of legislation in support of nuclear since the Atomic Energy Act of 1954. We’re also seeing the coal to nuclear concept being further embraced as a key strategy to build a new path for our energy communities. Chris will expand on both in his remarks. It is clear that this is an exciting time and NuScale VOYGR small module reactor power plants offer a cleaner, safer, end cost competitive path forward. NuScale’s technology is smarter, use improvement pressure water reactor technology as a basis to create a simpler and modular design that could be fully factory fabricated. By shifting to full factory fabrication and assembly over site construction, we have the potential to reduce and stabilize costs while lowering schedule risk by moving more costly construction indirection activities to a factory environment. NuScale is a carbon free energy source that is not only capable of producing reliable base load electricity, but also designed for flexible operations that complement intermittent renewable energy generation sources and can provide process heat for applications such as desalinization, hydrogen production and oil refining to further de-carbonize industrial sector and as well as provide heat to communities via district heating circuits. The safety of NuScale design is unparallel due to our power modules ability to safely shutdown and self cool indefinitely. Without the need for AC or DC power, operator or computer action or any additional water, this provides what is called an unlimited coping period, a first for light water reactor technology compared to days a week for other designs. And finally, in terms of being cost competitive, NuScale’s SMR design is the only technology that is scalable. In that the facility can be operated from as few as one NuScale module – power modules to as many modules as the reactor build that is capable of housing. The scalable feature allows customers to expand the facilities and solve capacity over time to meet load growth or other economic considerations, and the facility does not need to have all modules installed to operate. As we shared last quarter, our technology is not hypothetical. We are putting the building blocks in place for commercialization. We are the first and only SMR technology provider in the world to receive design approval from the U.S. Nuclear Regulatory Commission or NRC. This approval is foundational to validating the innovative safety of our design and has propelled the public acceptance of SMR technology domestically and abroad. To our knowledge, none of our competitors have even filed an application with the NRC for design approval, which means we are at least three years ahead of the competition for those technologies interested and deploying in the United States. Furthermore, our technology is backed by an established supply chain. We are aligned with proven and highly competent manufacturing partners, and we have developed a robust supply chain management organization to provide oversight and monitoring of suppliers. Together, these foundational elements are supported by our asset light and diversified business model that monetizes value across the 60-year life of our plants. With that, I’ll move on to provide an operational update. As we prepared to list our company earlier this year, we established five near-term objectives for NuScale to complete by year-end. As you can see on Slide 15, we’re making strong progress on our 2022 priorities. As a reminder, our five-year near-term objectives are; one, secure our next committed customer; two, issue long lead material specifications for the upper reactor pressure vessel; three, complete the reactor building design; four, complete our standard plan design, which I’ll also refer to as the SPD throughout my remarks; and five, submit a standard design approval application to the U.S. Nuclear Regulatory Commission for the VOYGR-6 module power plant that our customer Utah Associated Municipal Power Systems plans to deploy. Now, let’s address each of these one by one. First securing our next committed customer. Last quarter, I shared details, but exciting opportunities in Romania and Poland. We have continued to make progress with potential customers in both markets and are optimistic that we’ll be able to secure our next committed customer by year-end. In Poland, we have made meaningful steps forward with KGHM a large Polish copper silver producer. On our last call, we mentioned that we have sent our proposal for a full scope to KGHM and that the proposal was under review. Since then, NuScale and KGHM have signed a state commencement to initiate the deployment of the first SMR in that country. We have issued invoices for further development work and KGHM continues to have fruitful conversations with the regulatory authorities in Poland where initial feedback has been positive. In Romania, the U.S. Trade and Development Agency awarded a grant for front end engineering and design work was RoPower Nuclear S.A., a subsidiary of Romania’s State Nuclear Power Corporation SN Nuclearelectrica. The eight-month scope of work includes tasks in the production of deliverables that will define the site in the customer specific inputs for VOYGR-6 SMR power plant that the Doiceşti power station in Romania, a site with a decommissioned coal fire plant and natural gas fire units and represents another step towards a signed commitment. In addition, we’re moving forward with deploying an energy exploration center or E2 control room simulator facility at the University of Bucharest, which establishes the groundwork for Romania to serve as an SMR educational in training hub for young and aspiring engineers in Eastern Europe. Finally, we recently participated in a series of Supplier Day events in Romania in partnership with Nuclearelectrica in Fluor. Engagements like this are a critical first step in leveraging Romania’s local resources in supply chain in the manufacturing and development of our technology. Meanwhile, in the U.S., we continue to move forward with our anchor customer, Utah Associated Municipal Power Systems and their carbon free power project, we will deploy a VOYGR-6 SMR power plant by the end of the decade. Earlier this year, CFPP completed the geotechnic work at the site to support licensing activities, totally more than 47,000 hours of work. The data and site information has been used to complete the project seismic, hydrologic, and volcanic analysis required for the combined license application or COLA to the NRC to be submitted in January 2024. Site work has continued this fall with field surveys being conducted via drones and the site team recently mobilized to conduct groundwater sampling, calibrate the meteorological tower instruments and install grounding rods. Furthermore, key contracts for original equipment manufacturing engineering, procurement in construction, and maintenance and operation contracts are in process of being developed. Looking into 2023 and beyond, our customer pipeline continues to be strong. As I mentioned earlier, interests in our technology intensified throughout the quarter as leaders in industry outside of our sector continue to embrace advanced nuclear solutions for the world’s clean energy needs. Our recent NuScale Symposium in Washington, D.C. a few weeks ago is a good example. We had more than 100 senior level leaders joined from a broad spectrum of domestic and international utilities, power users and ministerial level leaders from countries interest and employee SMR technology. We’re also joined by federal and state officials, a diverse cross section of the international supplier community, as well as the analysts and investors signaling broad interest and support from the required stakeholders needed to finance, manufacture, build, and deploy NuScale’s SMR power plants around the world. Moving on to our second milestone. As we reported last quarter, we have issued the long lead material specifications for the upper reactor pressure vessel, which is a critical element in the procurement and manufacturing process of the NuScale Power Module. We are now working with our key suppliers on further pre-manufacturing activities to ensure that the supply chain is ready to go in anticipation placed long lead material items in the near-term. So we are in good shape here and we’ll continue to advance our manufacturing and supply chain readiness. We discussed on last quarter’s call that our third milestone completing the reactor building design was completed in July. The reactor building is a large robust structure that houses the NuScale Power Modules and is used to ensure maximum safety during normal operations and mitigate the consequences of any potential safety incidents. Given the importance of this structure, completing the design with an important step and supports our efforts in the broader standard plant design process. This brings us to the fourth milestone on our list. Our goal of completing our standard plant design or SPD. Our vendors have submitted over 12,000 deliverables including floor plans, procurement specifications, pipe stress calculations, and heat loads. These deliverables along with a comprehensive plant 3D model, make up the NuScale standard plan design. The completion of the SPD will provide a comprehensive plan design for potential customers to be leveraged and deploying NuScale VOYGR SMR power plants. This means significant savings for our customers, as they can focus their investment in engineering resources on site specific design changes. The designs completion, further advances the commercial viability of NuScale’s technology and we look forward to delivering good news by year-end. Finally, our fifth and last milestone is submitting the standard design approval application or SDAA to the U.S. NRC for the VOYGR-6 SMR power plant. This is a work stream that focuses our 77-megawatt technology. This is not to be confused with our 50-megawatt technology, which has already been received standard design approval from the NRC. As a reminder, we started R&D efforts over a decade ago with a 12-module plant at 50 megawatts for each NuScale Power Module. However, through value engineering efforts, we determine that the same NuScale module can deliver up to 77 megawatts, which would further enhance the use case for our technology. This power upgrade requires relatively minor changes to the physical model and some revisions to the analytical models that have since already been approved or are currently under reviewed by the NRC. There is nothing novel in these methods. And the NRC has great deal of experience with power up rates, so progress has been made on this milestone and we’re still on track to submit the SDAA by year-end. All in all, I am pleased with the advancements that the NuScale team has made towards our 2022 objectives and our broader work towards commercialization. Before I hand it over to Chris, I’d like to highlight a few other important achievements that we accomplished in the quarter. We continue to pursue informed strategic partnerships with entities that could help us provide customers with an integrated solution for the financing, development and management of SMR projects. These partnerships are important because they lower the barriers to entry for prospective customers by enabling us to offer a single source solution for financing and building a NuScale VOYGR power plant. We’re also proud to highlight the NRC issued its final safety evaluation report, which approved NuScale’s methodology for determining emergency planning zone or EPZ for the NuScale VOYGR SMR power plants. As opposed to traditional large scale nuclear power plants, which are required to have an EPZ of 10 miles in the U.S. used a disapproved methodology, NuScale VOYGR power plants can achieve an EPZ limited to the site boundary. This is significant, because it demonstrates the unparalleled safety of NuScale’s SMR design. A smaller EPZ also significantly reduces plant operating costs and further enables the citing of NuScale’s technology where it is needed most. For example, our VOYGR SMR power plants can be installed at retiring coal facilities near high population zones, while other technologies may not. Lastly and critically, the NRC unanimously voted to certify NuScale’s SMR design, noting that it meets the agency’s safety requirements. Completing certification of the 50-megawatt design sets the stage for an efficient and effective review of the SDAA I mentioned earlier, especially since we’ve established alignment with the NRC staff on what a standard design approval application should contain. By being certified, the design now has the approval of the NRC staff, the advisory committee on reactor safeguards in the commission itself. As the first SMR design approved by the NRC, this achievement is a reminder of the unparalleled progress we have achieved towards commercialization. No other SMR technology provider has submitted to the NRC and application seek and design approval. Let alone that approved and certified. So a lot of positive developments in the quarter. Now I’d like to turn the call over to our Chief Financial Officer, Chris Colbert to go over the financial highlights. Chris?
Chris Colbert: Thank you, John, and hello, everyone. I’d like to begin by touching on our third quarter financial highlights. With the detailed information available in our filings, I will focus on the primary drivers of performance. In terms of top line results, we generated $3.2 million in revenue in the quarter compared to $0.3 million in the third quarter of 2021. The increase in performance was driven by activities in support of the engineering, procurement and construction development agreement for the Carbon Free Power Project, the additional consulting services around the nuclear technologies. Although trending positively, revenue remains a smaller part of our story at this stage. And our focus is on effectively managing our spend. Operating expense has and will continue to grow concurrent with efforts to ramp our commercialization plan. Higher professional fees associated with the standard plant design and an increased headcount to support our licensing efforts drove R&D expenses in the quarter, while an increase in G&A resulting from higher insurance and marketing expenses were partially offset by lower compensation costs. Investments in advertising and marketing are integral to building our brand recognition across the globe. Due to timing differences with our federal funding, the DOE cost share decreased slightly in the quarter. However, for the nine months ended period, DOE cost share was $13.6 million more compared to the same time period in 2021 as we continue to advance our research. All in, our net loss in the quarter was $22.5 million greater than the comparable loss in the third quarter of 2021. Looking at other uses of cash, CapEx was minimal and mostly comprised of software and computer hardware to support R&D, which is consistent with our asset light model. We continue to be well positioned to meet our near and longer term milestones. Our $318.6 million in cash, cash equivalents and short-term investments, further buoyed by our lack of debt provides us financial flexibility. NuScale considers its total shares outstanding for calculating market cap to be its Class A shares plus its Class B shares and units that owners will convert at the discretion. We realize that not all sources capture a structure appropriately. For clarity, based on this calculation, as of November 7, 2022 was $2.6 billion. Before I turn the call back to John, I would like to touch on a couple of other major developments that will impact our business. Industrial projects across the board are facing an increase in raw material and financing costs, driven by supply chain disruptions, rising interest rates, and other macroeconomic dynamics. Pricing pressure on key materials such as steel, copper, and mineral commodities has intensified both on a year-over-year basis and versus the pre-COVID period. While this cost inflation is something we will need to manage, I want to emphasize that it is not exclusive to NuScale or the nuclear industry. Every category of energy generation, including solar, wind, LNG, and conventional fossil fuel projects are effective. The bottom line is that the nuclear SMR projects remain cost competitive with all other forms of energy generation, which is a core part of our story at NuScale. The passage of the Inflation Reduction Act, which John referenced earlier, is an incredibly significant development for the nuclear industry. It will benefit our business model and help lower the localized cost of energy for our technology. Previously, government credits around clean technologies only applied to wind and solar. The passage of the IRA levels, the playing fields now include nuclear in the government’s clean technology framework. The salient takeaway here is that advanced nuclear will now enjoy a meaningful reduction in capital costs of 30% to 50%. While utilities and other stakeholders are still assessing the broader implications of the IRA. We expect to see a significant increase in interest in our technology as a result of this legislation. So we’re taking this as a clear positive to a NuScale business model and our future trajectory. With that, I would like to turn the call back to John to closing remarks.
John Hopkins: Thanks, Chris. As a pioneer in the SMR nuclear industry, we are incredibly proud to have the opportunity to originate, build a unique business model that will deliver carbon free base load energy and help provide clean energy at scale. We appreciate the strong interest from our investors and will continue diligently executing on our operational and financial milestones as we work to change the landscape of clean energy. Now, more than ever, the world needs more clean energy sources and we believe NuScale is prime to fulfill this need in a meaningful way. With that, we’ll turn to questions.
Operator: [Operator Instructions] Your first question comes from the line of Marc Bianchi with Cowen. Your line is open.
Marc Bianchi: Hey, thank you. I guess, Chris, just because you were mentioning this on IRA, perhaps we could talk about what that’s meant in terms of customer inquiry. I guess, you mentioned that utilities are taking their time, but curious if there’s other customers that have come in and started talking since the IRA was announced. Curious if you could quantify that to some degree and give us a better handle on when we would hear more about those types of conversations.
Chris Colbert: Sure. And John, maybe you want to start off and I’ll follow up after you.
John Hopkins: So go ahead, Chris. He asked you the question. I’ll follow up.
Chris Colbert: Okay. All right. So, the Inflation Reduction Act provides the opportunity of maybe a 30% to 50% reduction in the cost of a NuScale plant, and that’s driven quite a bit of interest and inquiries from the U.S. sector as they get their arms around what it means for them in their individual circumstances. So the inquiries we’ve had have come from both the investor on utilities as well as other public sector or municipal power agency’s similar to what ERAM says and even regional electric cooperatives such as Dairyland Power. So we expect it’ll take a little bit of time for folks to digest how the IRA applies to their particular circumstances is they start figuring that into their deployment decisions going forward. But suffice to say, we’ve received a large number of inquiries both from all those on the side that are providing power as well as from state policy makers who’ve asked us to come in and talk about the technology and how IRA impacts, what they could see happening in their states. So with that, I would say, it’s very exciting opportunity that we see accelerating the deployment of advanced reactive technology, including NuScale in the United States, but it will take a little bit of time for folks to digest how that applies to them and more importantly, how do they move forward to implement projects that take advantage of these technologies and the IRA benefit. John?
John Hopkins: Yes. Marc, I just want to follow-up and say, have any IRA come out. We’re getting, as Chris said, it’s significant interest as we’re seeing numerous potential power plants coming offline here within the next decade. Major utilities are now looking at the IRA as it says because it looks to phase out about 2032, so they’re looking to want to take advantage of these savings. So it could be up to 30% of cost. So that plus – what else I’m seeing here at COP27 with discussions about European taxonomy, et cetera. We’re seeing significant movement in terms of customers want to up their timeline sooner than later. Thank you.
Marc Bianchi: Great. Thanks for that, John. I guess, on the – one of the milestones here is the second secured customer. Can you just remind us what criteria is involved in claiming success on a second secured customer? We see lots of MOUs and announcements that are moving the ball down the field, but I don’t know what that trigger is for kind of counting the customer as a secured customer.
John Hopkins: Yes. Marc, what we’re looking at is, it’s kind – in fact, let’s take a country like Poland or KGHM – there we’re looking at what’s the regulatory framework, what is the funding, where’s the funding come from, where does the government support? And most importantly, once money start changing hands, we have a working agreement and it’s a multiple millions of dollars now to assist KGM in a variety of assisting site selection and other front end work. So once that money starts moving, we have a tendency to look at as a more secure customer. Same thing applies to Romania. And again, they’re – we have working agreements with them, so money’s exchange in hands, government supports there at the very senior levels. U.S. government supports there as I said. We did a supply chain. In fact, we got all our suppliers together here the last few weeks. So the momentum is greatly enhanced and moving forward.
Marc Bianchi: Okay, great to hear. Maybe if I could just slip one more in, on the Department of Energy cost share appropriations, there’s a senate draft out there that seems to direct some funding away from NuScale. I’m just curious, what that outcome would mean and how we should think about that in the context of the free cash flow guidance that you guys have talked to through becoming free cash flow positive in 2024.
John Hopkins: Yes. Let me start and I’ll turn it over to Chris. We – every year, we go through the senate appropriations bill and as Chris stated, this year we were $13 million more than last year. We’re working both sides of the hill right now on appropriations to against continue to secure then to ensure that this technology in our project at CFPP moves forward. So the feedback we’re getting on both side of hills has been very positive. So we’ll see what the end result is, but we’re working diligently on it like we do every year. Chris?
Chris Colbert: That captures it well, John. It’s a process, right? So there’s a President’s Budget request, there’s a house mark, a senate mark. And then there’s a conference, and this has been goes on every year. And so we’ll need to see what comes out of that process. But if you look at it historically, you see is that typically – it takes some time for it to work through. We’ve been successful or at least have been appropriate at the levels that we’ve expected in the past. Now that’s not a predictor of the future. But right now, we’re working both with the Department of Energy and with the various committees to make sure they understand what it is we’re looking to achieve and that it’s appropriately funded going forward. So I’ll leave it at that.
Marc Bianchi: Okay. Thanks, Chris. I guess I’ve had a couple other questions come in as we’ve been on the phone here. Can you talk to the opportunity from the Ukraine announcement here with on hydrogen, I guess what’s the timeline for that to potentially convert into a project for you? And I know it mentions using solid oxide electrolysis, which my understanding is that’s still a more of an emerging technology for hydrogen electrolysis. Is there some technology achievement that needs to occur on the electrolysis side that is a gating factor in moving this project forward?
Chris Colbert: Yes. I will say I was extremely proud. I was on a stage with a Special Presidential Envoy for Climate Kerry and the Ukraine Energy Minister Halushchenko when he announced this clean fuels SMR pilot project. It’s not only just for hydrogen, but it’s also for ammonia and Secretary Kerry mentioned specifically about what it’s going to take from an infrastructure rebuild and at the U.S. and other countries want to stand behind. And particularly on the energy side, I thought what was really important when they announced that particular project for ammonia and hydrogen, many of NuScale’s key suppliers from the U.S., Japan, and Korea are all engaged in this project. So it’s in the early stage and we’re going to sit down and start having discussions how this works. But on a solid oxide, it may be a little further ahead than you believes and I’ll just going to have to leave it at that.
Marc Bianchi: Okay. I’ll stick to the nuclear technology on this.
Chris Colbert: Yes, but it was interesting being that stage. It was a crowded room. And then they also – if you remember, he announced the another project called Project Phoenix. And essentially this is to escalate the transition of Europe coal fire plants to SMRs. And the key for this is retaining local jobs. Now, this is not dissimilar from what we’re doing in Romania, in Poland, as well as what we’re going to be doing in the United States. Coal refurbishment is going to be huge opportunity globally for the advanced nuclear community.
Marc Bianchi: Super. Maybe last one, just on the on the warrants, is there any color you can provide on plans around redemption or how you’re thinking about updating the market on that? Is there anything that you’re looking for or just general color that you can provide?
John Hopkins: I’ll turn that one over to Chris. Chris, please.
Chris Colbert: Yes. So we’re aware of the situation and the triggers that have been met on that. And again, it really comes down to a conversation within the company we think is best given all the other particulars around our capitalization going forward. But we’ll continue to monitor it. And we’ll continue to evaluate the opportunity that presents both in terms of perhaps exercising those redemption rates or letting a mistake. What I will note is that in the Q3 you’ll notice that there was about $27 million with capital raised as a result of folks exercising warrants and options, which really was not expected. So there is some benefit in terms of letting those stay there because people at least in the third quarter, exercised some of those and provided additional capital to the company that quite honestly, we had not been projecting that or planning on it, but it’s there and it’s a positive thing to have.
Marc Bianchi: Okay. Great. Thanks so much for the answers. I’ll turn it back.
Operator: [Operator Instructions] At this time, there are no further questions. I’d now like to turn the call back over to John Hopkins for closing remarks.
John Hopkins: Thank you, operator. Greatly appreciative for everybody attending in the questions as well. I got a couple more days here at COP 27. I got two more presentations, and I’ll say this, I was at COP 26 and I mentioned last quarter. I felt we had a seat at the table. I can tell you the interest where NuScale has six speaking opportunities here at COP 27. And it’s been a lot of interest driven heavily by obviously climate disruption, but also energy security. Also, a lot of discussion as we stated earlier about hydrogen production and how do you get it, how do you get it to scale your fertilizers like Romania. Also, another key component that has been discussed here is the fact that NuScale via the NRC now has emergency site boundary at the – essentially the fence line of the plant. This is the first industry and there’s no other nuclear power plant in the world. So if you think about what we’re talking about on coal refurbishment as these power plants come offline, population density has increased and there’s a significant cost to be able to say that we can do it at site boundary. So with that, I’d like to say thank you very much. We appreciate it until next time.
Operator: This concludes today’s conference call. You may now disconnect.